Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Ituran's First Quarter 2019 Results Conference Call. All participants are currently in a listen-only mode. Following managements formal presentation instructions will be given for the question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded. You should have all received by now the company’s press release. If you have not received it, please contact Ituran’s Investor Relations team at GK Investor & Public Relations at 1-646-688-3559 or view it in the News section of the company’s website at www.ituran.co.il. I will now hand the call over to Mr. Gabriel Frowein of GK Investor Relations. Mr. Frowein, would you like to begin?
Gabriel Frowein: Thank you. Good day to you all and welcome to Ituran's conference call to discuss the first quarter 2019 results. I would like to thank Ituran's management for hosting this conference call. With me today on the call are Mr. Eyal Sheratzky, CEO and Mr. Udi Mizrahi, Deputy CEO, and VP Finance; and Mr. Eli Kamer, CFO. Eyal will begin with a summary of the quarter’s results, followed by Eli with a summary of the financials. We will then open the call for the question-and-answer session. I'd like to remind everyone that the Safe Harbor in the press release also covers the contents of this conference call. And now, Eyal, would you please like to begin?
Eyal Sheratzky: Thank you Gabriel. I'd like to welcome all of you and thank you for joining us today. 2019 has started with Ituran being a company on a much larger scale with more potential for growth. Ituran now is a significant footprint and is a major telematics provider in Latin America and we now see many solid growth opportunities ahead of us. We provide our services to almost 1.8 million subscribers. While our subscribers last year were mainly in Israel and Brazil we now also have subscribers throughout Latin America including Ecuador, Mexico, and Colombia. Looking ahead the growth in our business now come from a number of different places. While in the past our growth traditionally was driven simply by the net increase in the subscriber base in the aftermarket today there are additional legs driving our growth. One, it remains a traditional retail after market subscriber in Israel and Brazil. The other leg is working with our existing OEM partners and adding additional OEMs in other markets in both new as well as existing geographies. We now have a much stronger platform to penetrate and we are in the early discussions with additional car manufacturer OEMs beyond the two that we are already working with. I would like to spend a few minutes discussing our business in Brazil. As you know the economic situation in Brazil has been weak in recent years which led to an increase in frauds and losses to insurance companies. While our pricing was a flat rate in Brazil, insurance companies in the region have been increasingly raising their premiums and implementing more customer filters. The effect on us in the past year was a slowdown in subscriber recruitment in the region. This is the main reason for the decline in the growth rate in subscribers in the first quarter of 2019 and over the past year. In response a year ago we started to develop our own program which allows us to profile customers and adjust our pricing from a flat rate to debt based on the type of the customer. At the end of the first quarter together with the insurance company's we completed a pilot program which has been ongoing for the past few months. In April and after the necessary adjustment we launched a new system and service and I am happy to say that it is working very successfully. In the near term we believe this would bring subscriber growth back to the typical levels we would normally expect already by next quarter and by going on. In our other important market in Israel we believe that we will continue in the same growth rate as in past years, subject to new car sales. As always we consider how to penetrate additional segments and as we announced recently we signed a new and innovative agreement with Harel Insurance, Israel's leading insurance company which we believe will accelerate our subscriber growth in the Israeli market. We are becoming Harel's provider of location based services for its usage based insurance UBI program. Harel launched a comprehensive car insurance policy based around the Ituran solution for taking into account a driver's accumulated mileage. The product is supported by an application enabling the insurance company to monitor driver behavior. Harel Insurance will bear all the insured costs including installation and monthly subscription fees to us. We see this product as a real advanced thought and insurance company providing a more accurate risk assessment and personalization of insurance policies, lower cost, and providing an innovative and fully digital service for the customer. It also provides real benefits to the end customers enjoying full transparency and fairer pricing based on their particular level of risk and weighted usage. We already see significant market interest and expect throughout 2019 a number of other insurance companies in Israel will begin to offer UBI policies based on our solution. Longer-term we expect to leverage this solution into additional countries in which we operate. Regarding Mexico it was recently announced there that 2G networks in that country are being discontinued in the next couple of years. One of our OEM customers in Mexico which uses a 2G telematic system require us to upgrade the system that we supply to 3G, a process which will take a few months to the end of Q2. After this our OEM customers in that country will start to take delivery of the next generation of systems but right now deliveries are on hold. This somewhat lower revenue from Mexico has and will have a slight short-term impact on us in Q1 and Q2. However we believe that by Q3 it won't be an issue any longer and our business there should go back to its normal LCPs. As of the end of the first quarter our active subscriber base was 1,783,000 million of which retail was 1,229,000 and OEM was 554,000. The net adds in the quarter were a total 13,000 of which 8000 were retail. We expect this number to be higher in the next quarter and 5000 subscribers were OEMs. Looking ahead we expect already by Q2 the retail part of the subscriber base to return to its normal growth rate of between 15,000 to 20,000 per quarter. And with regard to the OEM subscriber base growth rates, our visibility is lower and the growth rate depends on the market position. In terms of our financial summary our first quarter non-GAAP revenue was $75 million. From the financial perspective as has been the case in recent quarters the weakness in a number of the currencies that we operate in especially in the Brazilian Real is a very significant impact on the translation from the local currencies in which we operate to U.S. dollar which is our reporting currency. If we remove the currency impact our revenues would have grown 32% in local currency terms. However our results will further impact this quarter in Brazil and Mexico as I discussed earlier. We are working on identifying and realizing the strong synergy in our business between and inside each of the region in which we are operating now. We are looking to grow our business by cross selling our capabilities to newly acquired customer and vice versa. We have a strong foothold penetrate services into new countries. We are already launching additional services in those new geographies. Furthermore apart from our ongoing work in building and realize the synergies in our business we have a number of initiatives that we believe will begin to propel us forward later this year. Such is our new agreement with Harel to provide telematics for the usage based insurance policies. My goal is that Ituran will always remain at the forefront of technological advancement in an ever changing customer oriented market. Before handing over to Eli I would like to add a few words about the buyback and dividend we declared today. As you know it is our policy to share dividend amounting to at least $5 million a quarter which continues. We share a dividend on a quarterly basis as we feel it is important to share our ongoing financial success with our shareholders. In addition the Board approved the share buyback amounting of up to $25 million until the end of December 2020. We believe that the ability to buy back our own shares depending on market conditions is a tool that we will contribute to shareholders value over the long-term. In summary as you can see we are very excited with regard to our potential in the coming years, I will now hand the call over to Eli for the financial review. Eli.
Eli Kamer: Thanks Eyal. I know that the results I present will be on a non-GAAP basis including adjusted EBITDA which excludes revenues and cost related to the purchase price of location. We believe this will provide a better understanding of our ongoing performance. For further details with regards to the reconciliation between the non-GAAP and the GAAP results please see the table published with the press release. Non-GAAP revenues for the first quarter of 2019 were at $74.6 million representing an increase of 18% compared with revenues of $63.1 million in the first quarter of 2018. In local currency terms first quarter revenue grew 32% year-over-year. Revenue breakdown for the quarter was $54.2 million coming from subscription fees and 19% year-on-year increase. In local currency terms subscription fee grew 36% over the same period last year. Product revenues were at $20.4 million which were an 18% increase over the same quarter last year. In local currency terms product revenues grew 21% over the same period last year. The geographic breakdown of revenues in the first quarter was as follows Israel 38%, Brazil 37%, and rest of the world 25%. Non-GAAP operating profit for the first quarter of 2019 was $16.2 million an increase of 4% compared with an operating profit of $15.5 million in the first quarter of 2018. In local currency terms this grew 24% year-over-year. Adjusted EBITDA for the quarter was $20.9 million, an increase of 9% compared to an EBITDA of $19.2 million in the first quarter of 2019. In local currency terms the increase was 29% year-over-year. Net profit was $10.7 million in the quarter or fully diluted EPS of $0.50, a decline of 5% year-over-year compared with a net profit all $11.3 million or fully diluted EPS of $0.54 in the first quarter of 2018. In local currency terms the year-over-year increase was 14%. Cash flow from operation during the quarter was $14.9 million. As of March 31, 2019 the company had cash including marketable securities of $54.5 million and debt of $73.6 million, this is a net debt position of $19.1 million or $0.89 per share. This is compared with cash including marketable securities of $53.3 million and debt of $73.2 million which is a net debt position of $19.9 million or $0.93 per share. As of December 31, 2018 for the first quarter a dividend of $5 million was declared. The dividend trickle date is June 20, 2019 and the dividend will be paid on July 3, 2019 net of taxes and liabilities at the rate of 25% and with that I'd like to open the call for the question-and-answer session. Operator.
Operator: [Operator Instructions]. The first question is from Tavy Rosner of Barclays. Please go ahead.
Peter Zdebski: Good morning. This is Peter Zdebski on for Tavy. Thanks for taking my question. I was just looking at the revenue per subscriber trends and obviously there has been some compression in the fourth quarter and then again going into the first quarter. And I understand that the OEM segment is a bit lower margin than the legacy aftermarket segment but all things being equal on the currency side could you give us a sense of the trajectory of the revenue per subscriber from here?
Eyal Sheratzky: Hello, can you just repeat the last part of the question, couldn’t hear the last part.
Peter Zdebski: Oh yes, yes. I was just asking about if all things are equal on the currency side is this about a good run rate for revenue per subscriber getting us at the road track and the bigger OEM contribution?
Eli Kamer: As you mentioned there was two reasons. First reason is the mixture between the OEMs that we just start to publish from Q4 and of course now. So the OEM subscribers have a lower margin and a lower ARPU so the mixture changed or decreased a little bit. And the next very important aspect is the currency exchange rates. So regard the future as long as the currency exchange rate is the main markets which is Israel, Brazil, and Mexico would be as if now so this is the run rate output that you should consider of course but it is something that it's not dependent or it's not in our hands.
Peter Zdebski: And approximately how much lower is the OEM ARPU than the aftermarket?
Eli Kamer: It's not very -- the differences are not very high. On the other hand the margins are lower because the service cost for the OEMs required let's call it kind of an automotive grade which required a higher cost. And it's not -- the announced differences in the ARPU will not give the right number or the specific number but just to give you a rough information or general information is lower but not materially.
Peter Zdebski: That makes sense. And then a quick one on the operational side, it looks like R&D picked up a bit also in the quarter, was that related to the 3G conversion in Mexico?
Eyal Sheratzky: First of all even I would say little bit historically we didn't touch it in our last conference call so even historically we increased and we put more power and strength in our R&D divisions in order to be able for example to be the first and the dominant player of UBI in the market that we will operate and we now start to show it in Israel. Second is the OEM leg which is a part of our role truck. When we acquire it we acquire it with R&D facilities and R&D expenses in order also to support the OEM needs. So overall the R&D expenses in the group is increased. And looking forward I believe that the number that we show now which is a much higher than a year ago it will be stable and we are now fully loaded with the power and the resources that we need to support our growth.
Peter Zdebski: Thank you.
Operator: The next question is from David Kelley of Jefferies. Please go ahead.
David Kelley: Good morning. Thanks for taking my questions. You referenced the ICS changing pricing model impact on subscriptions in Brazil. And just to clarify, are you expecting an immediate return to normalized subscription growth in Q2 now that we're post the test phase or is that still more of a second half tailwind for your Brazil market growth?
Eyal Sheratzky: Regarding numbers of subscribers as I said in my speech we are absolutely see and believe or expecting that the numbers of subscribers will come back to where I would say historical trend in Brazil already in Q2. But of course we have to always remember that the influence on the financial numbers will take one or two more quarters because the nice thing in operating leverage helps us when we had declining in the gross but when we move back to a growth in subscribers in one two or three quarters it will be much more material, the influence on our revenues from the customer base. So in terms of subscribers it will be immediately, we believe it will be immediately. The financial influence, the revenue and the profitability of course should be more materially more to the second half of the year and of course hopefully for the next coming years. Yes.
David Kelley: Okay, perfect. And then maybe switching gears to the usage based insurance agreements that you announced last week. Appreciate the color on that. Can you just talk about maybe kind of the magnitude of size of that contract and maybe your view on the UBI opportunity over the next one to two years. And then I think you referenced an opportunity to take that to other markets beyond Israel. Where do you see some sort of natural fit going forward, is it your legacy markets in places like Brazil but would love to just get some more color on UBI?
Eyal Sheratzky: Okay. I will start by saying that we identified and realized the new opportunity in UBI about more than two years ago and we started to develop the software as the technology and all the make ups to integrate it into insurance company's needs. We had the first contract a few years ago with AIG in Israel but AIG those days were a very small insurance company for the vehicles and second, their model was based on putting the cost of all this program on the insurers. So it took off but the numbers were not enough but it was a good pilot for the market and for us. Since then of course we move forward much better, much more the technology is better. And we see now -- we saw during 2018 that the Israeli insurance market as well as other markets in the world are changing towards more digital insurance, more application. The insurance companies are more open to change their historical models and we used our dominancy in the Israeli market and the relationship that we have. And of course we start talk with all of them and by the way they checked not only Harel but all -- many others insurance companies that are now on their way to being in this program. They didn't check only our solution because it's a very strategic decision for insurance company to change the model of selling car insurance. In Israel it's totally new and Harel is one of the largest if not the largest. And it means that they checked not 100% and 100 pilots but 1000% that we are the right horse to gamble on. And it was like a tender process and many other companies from the rest of the world as well as other Israelis technologies in this software were at this I would say bid on this showroom and we won. We signed the contract and being honest my feelings is that or at least we believe that we will dominant this market in Israel. Hopefully as we did with the SVR solutions. And in terms of number we have to understand when those dominant insurance companies decide I would say to change the models, to change the markets. We should consider potentially for the next 5 to 10 years that all or there is no reason why an insurer that want to insure his car and you know what is the highest price he can pay and along the year of the policy he will always can only getting discounts that will keep the old way. So we believe that this way of selling insurance will become more and more and more part of the way to sell insurance for cars in Israel first. And we believe that we will dominant the market. In terms of numbers it can be 100,000s or millions or whatever the insurers market is. Of course we are not aiming 100% penetration, we are not aiming to be the only player in the market. It will take time also for those insurance companies to educate their brokers if it's a direct insurance or to educate their marketing channels. It will take time but as we see and by the way Harel is already commercially and they spend millions of dollars currently for the people that lives in Israel. Once they open the radio or television they receive called Harel switch I would say almost every hour. So they spend a lot of millions of dollars in order to make this education and sales. So we believe that this is really giving us a new segment with very large potential customer base for the future. Now we are talking about ARPU which is lower than the SVR ARPU. It is not the same numbers but on the other hand since everything is digital, everything is automatic so all our service costs which we haven't experienced is our P&Ls is that we have control center, we have customer support centers all of these are deep case. The cost mainly was the R&D and now the support but everything is automatic, everything is a software. So although the ARPU will go down the profitability of those subscribers are even much stronger than the SVR subscriber so imagine with additional few hundreds of thousand subscribers in the next five years that it can be very material to Israeli numbers. Again it just started with Israel. We are we believe we have discussions and we have competitors but as I said I believe that in two to three years from now we are very optimistic regarding having tens of thousands of new subscribers and this is -- and I am conservative here, I'm very conservative. So it can be material for the Israeli market. Yes, then as we saw in the past when we came to Brazil we already have been breakeven in Israel. It was many years ago but it took us three to five years to become dominant in the market. I believe that Latin America which is more emerging market than Israel will be ready in few years to accept and for us to duplicate this solution. But it is something that is more for the longer-term. It's not something that I can assure that in 2020 or 2021 we will be dominant in UBI in Brazil.
David Kelley: Okay, thanks. And just quickly that you mentioned the lower ARPU but higher the margin accretive opportunity, it sounds like that's -- is that based on the contract signed or you see the longer-term market potential even beyond Israel?
Eyal Sheratzky: No, it's much easier in the contract side. Again the SVR will depend on how it sells to the insurers because it was a pure B2C. Now we are talking about a pure B2B. Our client is the insurance companies, we have -- in the contract we have the pricing, we have the process, everything is to B2B between us and Harel and in the future will be probably between us and the other additional insurance companies. Of course the contract can be different from each other but on average it will be very close to each other. So we are talking about a situation that we get -- let's call it we get a check every month based on the new insurers that both the UBI premium from Harel and in the future from the others. So the pricing are a part of the contract. As I said I don't want and I cannot disclose the prices, it is a B2B deal. But as I said it is lower than the SVR but it will be more profitable.
David Kelley: Great, thank you. I appreciate all the color, really helpful.
Operator: The next question is from Sasha Karim of IPI. Please go ahead.
Sasha Karim: Good afternoon and thank you also very much for the extra color you gave on this call. My first question would be on the 15,000 to 20,000 typical subscriber net additions per quarter, that number seems a bit low to me because you've acquired Road Track and in the past you have done between 20 and 30 in some quarters. Can you just comment on why the new normal is only 15,000 to 20,000, is there some maturity perhaps in your markets now?
Eyal Sheratzky: First of all as I said and maybe it wasn't clear, when we gave a forecast or the expectation for 15,000 to 20,000 per quarter after for example this quarter we did only the 8,000 and I mean it's only for the retail aftermarket segments which historically that's the number that we had an experience and then we had the declining that I explained came from Brazil situation. Now we are on track again and it will be only for the aftermarket retail segments. And I said that regard the OEM this is part of the acquisition that we did with Road Track. We have less visibility and we are not providing number for forecast. But I want to add something, we acquired Road Track with an OEM subscriber base. The OEM subscriber base that we acquired has no potential to grow by itself because it's very solid, very depend on the size of those customers. It's about three customers in our four regions that are buying what they sell. The reason or their advantage that we see or the upside in acquiring Road Track is first of all to use it as a platform to duplicate our retail aftermarket segments in those geographies based on this platform. Second, to use our additional services and not their experience to grow and expand the OEM contracts. And third, to try to create more renewals but regard the customer base that we bought we didn't expect that this will grow as it is. And by the way don't forget that there is also a matter of the price that we paid. We paid multiples and we made the transactions which is fitting a company reach its potential by itself, to grow is lower. You can see our reports regard what we paid for what we get and you will see that it was a very, very attractive price that was based on seller understanding that we are not buying a company that result that can grow.
Sasha Karim: Thanks, it's very clear. Thank you. And can you -- are you seeing a change in the behavior from your existing OEM partners, the lack of transparency I understand but are you also perhaps suggesting that some of these partners maybe not pushing the products as hard as they would have done in the past and there is a risk of decline in the subscriber base or is it just generally low transparency?
Eyal Sheratzky: IT'S something that we don't have control. We get -- usually we get a kind of planning inventory and planning sales for three to six months. But I must admit that this is kind of our forecast and it's not always something that it's clear and this is something that I don't want to take a risk and share the audience or the shareholders with it because many times it's volatile from the historical expectation. And we learn that they by themselves not always have the right forecast. Second, we have confidentiality because no one of those customer want to be exposed with what they saw during the quarter. So by giving specific numbers we also expose it and we are not allowed to do it. And the third issue to your question, yes, yes theoretically or practically we can find ourselves in some quarters with declining in OEM customer base and this is something that can be reality. A quiet confidence that we are -- can be in a situation that for example and this is what we start to date, to show our OEM subscribers base and the retail subscriber base. The retail subscriber base contribution is much more material to the profitability and to the ARPU than the OEMs. So just to illustrate the situation that we will grow 20,000 in our retail and we will decline in 40,000 in the OEM in the same quarter. Still we will show growth in revenues and in profitability because the weighted average of declining in OEM but growing in the retail is still positive and this is important to understand. We have less control on the OEM. We have less growth in the OEM currently mainly because of the economic situation. You know that the car industry usually is the first to be hurt by recessions and we found it and we have experience with this and this is a situation in Brazil, recently in Mexico so I believe that still even if we will find some quarter to be declining in OEM customer base we will continue to show or we start to show again growth in the retail and the weighted average will be positive. So overall I am looking forward starting second half of this year and hopefully the next couple of years the result should be with a positive influence compared to Q1 as we saw now.
Sasha Karim: Got it. Thank you and then my last one would just be you briefly touched upon some early stage engagements with new OEM potential partners. Can you give us a feeling for maybe the time frame there, I know you can't promise but would you sort of hope to announce something more concrete by the end of this year?
Eyal Sheratzky: First of all we have to divide into two type of I would say of discussions. One discussion is with totally new brands which share our historical experience of negotiating, discussions, and bylaws etc. We know that it is a very long cycle. This is not new. We already started but we don't know exactly what will be the results of these discussions and how long it will take. But once it take off it can be material for this brand. Second, is to extend the current relationship to other geographies and this is something that should take lower time, lower -- faster cycle but still those are I would say in brackets it was kind of an elephant in decision taking and in their strategic decisions. So it will take more time, it's not something for the next one or two quarters. But I hope that by mid-term we can be in a position that we will be or with another brand or in another one or two geographies which the current brings. But this is only I wouldn't say that we are in a close period to do it or something but we have discussions and we see or we have the confidence that our position now we will support it.
Sasha Karim: Thank you.
Operator: There are no further questions at this time. Before I ask Mr. Sheratzky to go ahead with his closing statements, I would like to remind participants that a replay of this call will be available tomorrow on Ituran's website www.ituran.co.il. Mr. Sheratzky would you like to make concluding statements.
Eyal Sheratzky: Yes, on behalf of the management of Ituran I would like to thank you, our shareholders for your continued interest and long-term support of our business and I look forward to speaking with you next quarter. Have a good day. Bye.
Operator: Thank you. This concludes the Ituran first quarter 2019 results conference call. Thank you for your participation. You may go ahead and disconnect.